Operator: Good morning, ladies and gentlemen. Thank you for standing by, and welcome to Aesthetic Medical International Fiscal Year 2022 Earnings Conference Call. During today's presentation, all parties will be in a listen-only mode. As a reminder, today's conference call is being recorded. On the call today from Aesthetic Medical International are Dr. Pengwu Zhou, Chairman and Chief Executive Officer; Mr. Toby Wu, Chief Financial Officer; and Mr. Derrick Shi, Investor Relations Associate Director. Dr. Zhou will review the business operations and the company highlights, followed by Mr. Toby Wu, who will introduce the company's financial performance. They will all be available to answer your questions during the Q&A session that follows. Before we get started, I would like to remind you that some of the information discussed will include forward-looking statements regarding future events and our future financial performance. These include statements about our future expectations, financial projections and our plans and prospects. Actual results may differ materially from those set forth in such statements. For discussion of these risks and uncertainties, you should review the company's filings with the SEC, which includes today's press release. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of today, and we undertake no obligation to update them, except as required by applicable law. Our discussion today will include non-IFRS financial measures, including EBITDA, adjusted loss and adjusted EBITDA. You should not consider EBITDA, adjusted EBITDA and adjusted loss as a substitute for or superior to net income prepared in accordance with IFRS. Furthermore, because of non-IFRS, measures are not prepared in accordance with IFRS, they are susceptible to varying calculations and may not be comparable to other similarly titled measures presented by other companies. You are encouraged to review the company's financial information in its entirety and not rely on a single financial measure. At this time, I would like to turn the call over to Dr. Pengwu Zhou, Chairman and CEO of Aesthetic Medical International. His opening remarks will be delivered in English by Investor Relations Associate Director, Mr. Derrick Shi. Dr. Zhou, please go ahead.
Pengwu Zhou: [Foreign Language] Thank you, operator, and everyone, for joining the call today. We are excited to share our fiscal year 2022 earnings and outlook with our stakeholders. Despite the challenges of the past year, where our treatment centers were placed under lockdown from time to time throughout the year. The number of visits to our treatment centers rebounded strongly after the epidemic control was lifted in December 2022. In 2022, we achieved impressive financial performance with a revenue of RMB 670 million despite the divestment of three underperforming treatment centers during the period, representing a year-on-year increase of 3.8%. The company's adjusted EBITDA rebounded from a loss of RMB 149.2 million to positive RMB 61.0 million, demonstrating our success in asset allocation efficiency and cost management. We are also proud to announce the completion of the renovation of our flagship hospital, Shenzhen Pengai at the end of 2022. This renovation projects, including the installation of a refreshment bar, new hard furnishing and state-of-the-art facilities that allow customers to enjoy a more comfortable and relaxing environment, while receiving aesthetic consulting services, drive through in our average spending customer. In terms of informal transaction [ph] our upgraded IT system represents a significant milestone that provides real-time data on the company's operations, allowing for more informed decision-making and with the integration of the hospital management system, business systems and financial systems. The company can now better track patient data, revenue and expenses providing greater transparency and accuracy in information disclosure. During the period, the company has strived to establish standard operating procedure that aims to standardize our operational processes and ensure that all services are delivered consistently and efficiently across all our treatment centers. The training systems will provide continuous training and development opportunities for company's employees to improve their skills and knowledge, ensuring that they can provide the highest level of service to its customers. 29 mystery shoppers' adjustments and feedback have been received in 2022 to validate the implementation of SOP. In February 2023, we closed a subscription agreement with Jiechuang for consideration of RMB 170 million, which will enable us to optimize our capital structure, supplement liquidity for our future expansion and therefore, positions us as a leader in the field of Aesthetic Medical agencies in China. We believe we see aforementioned strategy. We will be committed to delivering safe, effective and personalized solutions to our customers and in return further enhance our core competitors, improve brand equity and eventually drive profitability. Thank you, again for all your support and attention. Now, I would like to turn the call to our CFO, Toby Wu to introduce the financials and operations for the fiscal year of 2022. Toby, please go ahead.
Toby Wu: Thank you, Dr. Zhou, and hello, everyone. I will summarize some of our key audited financial result and operation results for the fiscal year of 2022 ended December 31, 2022. In the fiscal year of 2022, total revenue increased 3.8% year-on-year to RMB 617.1 million, primarily attributable to the better quality and well organized service as we provide as well as more optimized operation strategy that we implemented. Gross profit was RMB 255.6 million, representing an increase of 31.9% year-on-year. Gross profit margin increased 11.3 percentage points to 53.1%. The increase was attributable to the divestment of a treatment centers that meet our profitability requirement during the 2021 and 2022, and the implementation of our strategic cost control of our aesthetic medical consumables. Selling expenses were RMB 226.5 million, representing the 33.8% of the company's total revenue in the fiscal year of 2022. Selling expenses as of revenue decreased by 28.9 percentage point. Reduction in the selling expenses and its contribution was mainly a result of our optimization of marketing channels, such as the introduction of a B2B corporation, KOL governance and management of a customer relationship in our private domain. General and admin expenses were RMB 115.4 million, representing a decrease of 27.3% and the general and admin expenses as the revenue decreased by 5.6 percentage point year-on-year, primarily due to the divestment of underperforming assets in the 2021 and 2022 and the tiny labor cost control. As a result of the foregoing, the company recorded a loss of RMB 76.1 million for the fiscal year of 2020 compared with a loss of RMB 669.5 million in the fiscal year of 2021. Basic and diluted loss per share were both loss of RMB 0.93 in the fiscal year of 2020 compared with basic and diluted loss per share of RMB 8.89 in the fiscal year of 2021. EBITDA for the financial year of 2020 was a loss of RMB 23.1 million compared with a loss of RMB 555 million in the fiscal year of 2021. Adjusted EBITDA for the fiscal year of 2020 was a positive RMB 61 million, rebound from a loss of RMB 149.2 million in the fiscal year of 2021. Adjusted profit after-tax for the fiscal year of 2022 was a positive RMB 7.9 million compared with a loss of RMB 263.7 million in the fiscal year of 2021. In terms of our operating performance, as a result of a temporary businesses and suspension of a treatment center in Shanghai and Shenzhen through the year, the company recorded a decrease of 10.6% year-on-year in the total active customers. Yet the company increased in number of treatment cases of 15.7% year-on-year. The increase was primarily drive by the increasing demand for non-surgical aesthetic medical treatment among the young generation, as well as the introduction of a innovative dermatologic treatment package. Total number of non-surgical aesthetic medical treatment as a percentage of the total number of aesthetic medical treatment increased by 4.4 percentage point to 94.5% in the 2020, primarily drive by the inauguration non-surgical treatment solution, post-treatment and advanced energy-based treatment. Average spending per customer increased by 16.1% from RMB -- RMB 3,100 [ph] full year, primarily drive by the sale of a high-end high-risk stimulating treatment [Technical Difficulty] quality service to our customers in delivering sustainable long-term growth. This concludes our prepared remarks. Thank you for joining us on this call. We will now open the first caller. Operator, go ahead.
Operator: Thank you. [Operator Instructions] The first question today comes from Qianyi Zhang [ph] with East Asia Securities Co. Please go ahead.
Unidentified Analyst: Good evening, management team. And this is Qianyi Zhang from East Asia Securities. I've got two questions here. And the first one is, is there any plan for the company to divest or close operations of the clinics in 2023? And is there any establishment or acquisition plan during this period?
Derrick Shi: Thank you, Qianyi. This is Derek from the company. And for your first question, we do not have any plan to divest or cease operation of clinics in 2023, but we will keep monitoring the profitability of our treatment centers. If any treatment center fails to reach our expectation, then we might consider the divestment. But for the current period, our treatment centers are all performing decently. So we don't have this kind of divestment plan right now. And for the acquisition plan, we are pretty sure that in 2023, we will not expand or acquire any new treatment center because we will focus more on our capital structure and the profitability of our current treatment centers. But starting from 2024 we will consider to open one to two treatment centers after our standard operation procedures have been completely implemented among all our treatment centers. So from that on, we will have a standardized model to open the treatment center from 2024. And I think that's my answer for your question.
Unidentified Analyst: Okay. Very clear. Thank you so much. And the second question is about the visits. I would like to ask, how is the number of visits after the control of the epidemic lifted at the end of last year?
Pengwu Zhou: Thank you for your questions. We have seen a decline from December 2022 because of the people infected with COVID-19 went up really quick. But after about two weeks, we see -- we have seen a sharp increase in the number of visits because most of the people have been recovered from that epidemic. And starting from this year, the number of visits -- the numbers of visit are very encouraging to us because one of our flagship hospital has seen a sharp increase like double in comparison with the numbers in 2019. So we believe that without the impact of the epidemic, our performance in 2023 will outperform -- we outperformed the last three years when COVID-19 was affecting us. That's my answer to your second question. Thank you.
Unidentified Analyst: Thank you. We would like to see the business growth this year, and we are looking forward to that. Thank you very much.
Pengwu Zhou: Thank you.
Operator: [Operator Instructions] Seeing no further questions, let me turn the call back over to Mr. Derrick Shi for closing remarks.
Derrick Shi: Thank you, operator. On behalf of our entire management team, I would like to thank everyone again for joining us today. If you have any questions, please contact us through e-mail at ir@pengai.com.cn. We appreciate your interest and support in Aesthetic Medical International and look forward to speaking with you again, next time. Operator, please go ahead
Operator: Thank you, everyone again for attending Aesthetic Medical International fiscal year of 2022 earnings conference call. This concludes our call today, and we thank you all for listening in. Goodbye.